Operator: Good morning, and welcome to the Builders FirstSource Fourth Quarter and Fiscal Year 2013 Earnings Conference Call. Your host for today's call is Mr. Floyd Sherman, Chief Executive Officer. [Operator Instructions] And as a reminder, this conference is being recorded today, February 21, 2014. The company issued a press release after the market closed yesterday. If you don't have a copy, you can find it on our website at bldr.com. Before we begin, I would like to remind you that during the course of this conference call, management may make statements concerning the company's future prospects, financial results, business strategies and industry trends. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from expectations. Please refer to those -- to our most recent Form 10-K filed with the Securities and Exchange Commission and other reports filed with the SEC for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. We have provided reconciliations of non-GAAP financial measures to their GAAP equivalent in our earnings release -- earnings press release and detailed explanations of non-GAAP financial measures in our Form 8-K filed yesterday, both of which are available on our website. At this time, I'd like to turn the conference over to Mr. Sherman.
Floyd F. Sherman: Thank you, and good morning. Welcome to our fourth quarter and fiscal year 2013 earnings call. Joining me from our management team is Chad Crow, Senior Vice President, Chief Financial Officer; and Marcie Hyder, Vice President and Controller. After I give a brief recap of our fourth quarter and fiscal year, I'll turn the call over to Chad, who will discuss our financial results in more detail. After my closing comments regarding our outlook, we'll take your questions. Our fiscal 2013 concluded with a strong fourth quarter. Our top line growth of 28.3% for the quarter once again exceeded the increase in residential construction activity, as actual single-family housing starts in the south region increased 14.2% and single-family units under construction increased 23.9%. In addition, our fourth quarter sales for U.S. single-family housing start were $2,576 and were $4,948 on a south region single-family start basis, both of which are the highest quarterly figures in our company history. Our gross margin percentage increased to 22.4% for the current quarter, up from 20.2% for the fourth quarter of 2012. Higher sales volume and better customer pricing were the primary drivers of our overall margin improvement in what is still a very competitive pricing environment. We ended fiscal 2013 with sales of approximately $1.5 billion, a 39.2% increase over fiscal year 2012 sales. From a U.S. single-family housing starts perspective, 2013 ended with 618,400 actual starts, up 15.5% over 2012, but still well below the 50-year average of 1 million single-family starts. When coupled with the ongoing recovery in U.S. housing, our market share gains of recent years have helped accelerate the pace of our sales growth. In turn, this enabled us to end fiscal 2013 with positive earnings before taxes of approximately $6.8 million when excluding the effects of charges related to our May 2013 debt refinancing. I'll now turn the call over to Chad who will review our financial results in more detail.
M. Chad Crow: Thank you, Floyd. Good morning, everyone. For the current quarter, we reported sales of $369.1 million compared to $287.6 million for the fourth quarter of 2012, an increase of $81.5 million or 28.3%. We estimate sales had increased 26.5% due to increased sales volume and 1.8% due to price. Breaking down our sales by product category, Prefabricated Components were $72 million, up approximately 36% from $52.9 million in the fourth quarter of 2012. Windows & Doors were $82.8 million, up approximately 33%. Lumber & Lumber Sheet Goods were $123 million, an increase of $26.6 million. Our Millwork category was $35.2 million, up 24.3% and Other Building Products & Services increased $8.4 million to $56.1 million. From a sales mix perspective, Prefab Components were 19.5% of total sales, up from 18.4% in the fourth quarter last year. We continue to see increased demand for this product category, as homebuilders continue to look for ways to reduce construction cycle time while dealing with labor shortages on job sites. Other Building Products & Services were down slightly, primarily due to the roofing component within this category. We saw no significant changes in mix on our remaining product categories. Our gross margin percentage was 22.4% in the current quarter, up 220 basis points from 20.2% in the same quarter last year. Our gross margin percent increased largely due to improved customer pricing, with the remainder due to leveraging fixed cost within costs of goods sold and improved sales mix. From an SG&A perspective, we continue to leverage our operating expenses as selling, general and administrative expenses expressed as a percent of sale decreased to 18.8% in the fourth quarter of 2013 compared to 20.1% last year. For the current quarter, our salaries and benefits expense, excluding stock comp expense, was $43.6 million or 11.8% of sales compared to $36.8 million or 12.8% of sales in the fourth quarter of 2012. Delivery expense increased $2.1 million and other general and administrative expenses increased $2.5 million, primarily a result of increased sales volumes. Interest expense for the current quarter was $8.6 million, a decrease of $2.4 million, which relates primarily to our refinancing in the second quarter of 2013. For the current quarter, interest expense included $6.6 million related to our outstanding senior secured notes due 2021, a $900,000 noncash fair value adjustment related to stock warrants issued in connection with our previous term loan and $600,000 of amortized deferred loan cost. Interest expense in the third [ph] quarter of 2012 included $5 million related to our term loan and $4.5 million related to our floating rate notes due 2016. In addition, interest expense in the fourth quarter of 2012 included a $600,000 noncash fair value adjustment related to stock warrants issued in connection with the term loan and $400,000 of amortized debt discount. We reported $200,000 of income tax expense in the fourth quarter of both 2013 and 2012. We recorded a reduction of our after-tax noncash valuation allowance of $2.6 million in the fourth quarter of 2013. We recorded an increase in the after-tax noncash valuation allowance of $3.6 million in the fourth quarter of 2012, both were related to our net deferred tax assets. At the end of the current quarter, our gross federal income tax net operating loss available for carryforward was approximately $268 million. Income from continuing operations was $4.6 million or $0.05 per diluted share compared to a loss from continuing operations of $11 million or a $0.12 loss per diluted share in the fourth quarter of 2012. Excluding facility closure costs, the fair value adjustment for stock warrants and the tax valuation allowance, our income from continuing operations was $3 million or $0.03 per diluted share for the current year quarter. Excluding facility closure cost, litigation settlement proceeds, the fair value adjustment for stock warrants and the tax valuation allowance, our loss from continuing operations were $7.2 million or an $0.08 loss per diluted share for the fourth quarter of 2012. Our net income was $4.5 million or $0.05 per diluted share for the current quarter compared to a $0.13 loss per diluted share for the fourth quarter of 2012. Adjusted EBITDA was $16.2 million in the current quarter compared to $3.4 million last year. For fiscal year 2013, adjusted EBITDA was $61.3 million, up $54.9 million over fiscal year 2012 adjusted EBITDA of $6.4 million. We were cash flow positive during the current quarter despite making the first required semi-annual interest payment of $13.5 million related to our 2021 notes. We ended the year with liquidity of $211.8 million, consisting of $54.7 million of cash and $157.1 million in borrowing availability under our revolving credit facility. We had no borrowings during the quarter under our revolver. Our working capital as a percent of sales also improved from 10.9% of sales in the fourth quarter of 2012 to 9.6% of sales in the current quarter. Operating cash flow was $8.6 million for the fourth quarter of 2013 and working capital was flat during the quarter. Operating cash flow was negative $18 million for the fourth quarter of 2012, which included a $12.2 million increase to working capital. Net capital expenditures were $4.8 million for the fourth quarter of 2013 compared to $1.2 million for the same quarter of 2012. I'll now turn the call back over to Floyd for his closing comments.
Floyd F. Sherman: Thank you, Chad. We certainly closed 2013 on a strong note as indicated by our fourth quarter results. However, winter weather across our markets thus far in 2014 has caused disruptions and has delayed construction activity. Nevertheless, we still believe a growing demand for housing exists in our markets and that once the weather abates, increased construction activity will return. I'll now turn the call over to the operator for Q&A.
Operator: [Operator Instructions] We'll go first to Trey Grooms with Stephens.
Trey Grooms - Stephens Inc., Research Division: I'll have to say, solid quarter given the pretty challenging weather in some of the fourth quarter as well. I guess, Chad, first off on -- sequentially, from 1Q to 4Q, we typically -- you guys typically see a slight sequential pickup in sales, but like Floyd mentioned here and as we've all seen, weather has definitely been much worse in the beginning of this quarter here, January and into February, than it was in the 4Q. With that being the case, should we be expecting for this quarter, for 1Q, sales to be down sequentially from 4Q to 1Q?
Floyd F. Sherman: Trey, this is Floyd, and I'll answer that. I think -- let me just kind of walk you through this. Through February to date, we estimate it's going to have -- the weather probably is going to put us 10% to 15% off of our expected pace. If we can make up half of that shortfall in March, which I think is reasonable because we certainly have the capacity to do so, that will leave us somewhere 5% to 7% off our expected pace for the quarter. The -- we think for the quarter that we will still outperform housing start activity in last year's first quarter. So all in all, I think that under the circumstances that we've had to deal with, our performance for the quarter will be pretty darn good. I can tell you that on days where we weren't contending with the weather, our shipping volume was about what we had anticipated or budgeted it to be. I think this indicates housing construction activity is still very good and that the weather is a major factor behind the shortfalls and with weather, the good part about that is you don't lose the business, you only get it delayed. I think that we certainly have a chance of coming out close to the quarter, maybe slightly ahead of the quarter of where we were last year. I would give the range of somewhere 0% to 10%, something in that magnitude. Chad, what -- you're playing with the numbers.
M. Chad Crow: Yes, I would say the way things look today, we'll be plus or minus 5% of where we were in Q4.
Trey Grooms - Stephens Inc., Research Division: Okay, all right. That's very helpful. And then just as a follow up to that, Floyd, on some of the commentary you had there, what are your thoughts on any pent-up demand that may have been created by this deep freeze we've been dealing with here, especially here in the southeast? Would you expect this to help the spring building season to some degree?
Floyd F. Sherman: Yes. The -- all the work [ph] from all of our reporting markets, we're getting -- still getting very, very positive feedback from the builders. Builders' anticipation is still high. The -- we still get good reports of model home traffic. The -- so I think building activity is going to be pretty much where everybody's forecasting it to be this year. I think the -- I still feel very good with everything that I'm saying that we're going to look at 15% to 17% increase in single-family construction.
Trey Grooms - Stephens Inc., Research Division: Great. And the last question, I guess, it might be for Chad. Last year, in the first quarter, I think you guys had some negative impact from lumber prices that at least for now it doesn't look like we're dealing with that. Can you remind us about how much of an impact you guys saw from lumber last year and how we think about that relative to where we are in lumber prices this year?
M. Chad Crow: Well, we did have -- we did get squeezed on margin in the first quarter of '13. If you remember, commodity prices were still -- there was still quite a bit of inflation going on then. If I remember, it was probably around 150 basis points or so we estimated the margin impact in Q1 of '13. So that shouldn't take place this year. So hopefully that will give you a little indication of kind of where we're sitting this quarter.
Operator: We'll take our next question from Jack Kasprzak with BB&T Capital Markets.
John F. Kasprzak - BB&T Capital Markets, Research Division: Just a kind of mechanical question regarding your NOL and taxes. As things improve in the housing market, you guys should continue to show better results and with that, better profits and higher tax expense. What sort of effective or cash tax -- sorry, cash tax rate would you think you would pay as things continue -- and if things continue to improve? Do you have any guidance there?
M. Chad Crow: Well, from a federal tax standpoint, there really won't be any cash until we've blown through the NOL, which I don't think will be till deep into 2016.
John F. Kasprzak - BB&T Capital Markets, Research Division: It's pretty much a one for one kind of...
Floyd F. Sherman: Right, yes. We still have some -- a small amount of cash taxes related to some state taxes, I think a couple hundred thousand a quarter, probably.
John F. Kasprzak - BB&T Capital Markets, Research Division: Got it. Okay. That's helpful. You mentioned roofing having an effect on your -- the sales of your other segment. Are you just referring to some deflation in shingle prices?
Floyd F. Sherman: I think it was just more due to storm activity in some of our markets in late '12 and '13.
John F. Kasprzak - BB&T Capital Markets, Research Division: On comparison, got you.
Floyd F. Sherman: Yes. The roofing sales were higher a year ago and that was probably primarily up in Eastern Tennessee and Alabama.
John F. Kasprzak - BB&T Capital Markets, Research Division: Okay. And lumber prices, I guess, have been pretty benign for the last number of months or a few quarters in this environment. I mean, we -- you should still be getting some good gross margin leverage. I mean, your gross margins are up nicely already. I mean, is there any reason to think you won't continue to be able to drive improved gross margins on the volume gains if housing's up -- single-family housing's up 15% to 17%? I mean, is that still a reasonable expectation?
Floyd F. Sherman: Yes, I think so.
M. Chad Crow: Yes. I think going forward, we should see continued margin improvement.
Floyd F. Sherman: The only commodity, really, that I would anticipate seeing some pretty sharp movement in here in the coming months is OSB. As you know, the OSB prices have been really depressed over where they had been and even where it was, the year average was in 2013. The -- I think a lot of that right now certainly is weather-related and that once the weather begins no longer being a factor, we're going to start seeing some upward push on OSB.
Operator: We'll take our next question from Seth Yeager with Jefferies.
Seth B. Yeager - Jefferies LLC, Fixed Income Research: It looked to me as if your dollar share, and I measured under homes under construction as opposed to starts, but it's continuing to grow, which is obviously good, but it was -- the pace was a bit slower, I guess, versus what we've seen over the past year. Is there anything to read into that? I know there's been some pricing pressure. Can you just give us a sense as to what's going on from a competition standpoint on what you're seeing out there?
M. Chad Crow: I don't think there's anything to read into our sales based on unit under construction other than the weather slowed up a lot of the construction in our market. And from a pricing standpoint, competition standpoint, it's -- as Floyd said earlier, it's still very tough out there. I would say it gets a little bit better as the pace of construction picks up, but it's still pretty darn competitive.
Seth B. Yeager - Jefferies LLC, Fixed Income Research: Got it. And just when I look at the days inventories, did you guys make any -- I know in the past you have, just anticipation of inflation, any prepurchases on inventories or strategic purchases?
Floyd F. Sherman: We really haven't changed our strategy the last few quarters. I do feel like we're well covered this quarter and if you're looking at our inventory turns in the fourth quarter, those over impacted somewhat by the weather as well. But we've been into a good quarter [ph], we ended the quarter in good shape. So our strategy really hasn't changed, but I feel good about where we are right now.
Seth B. Yeager - Jefferies LLC, Fixed Income Research: Okay. All right. And then just a last one in terms of cash flow as in some unforeseen event. If we hit the sort of housing start expectations that people are anticipating at this point, you should be generating some nice free cash flow for the full year. I had penciled in, I think, $15 million or $20 million of CapEx. Beyond that with minimal cash taxes, what's the expected use of free cash flow? Do you guys have any plans on expanding the business? Can you just maybe talk about the capital you should be generating?
Floyd F. Sherman: Well, I think the numbers you just said were on target. We really don't have any plans at the moment for what we might do with some of the cash flow we're generating. We're always looking for opportunities to expand, whether it's greenfield or through acquisitions, and we've looked at a few acquisitions recently and then we'll continue to do so. If we can find some that makes sense, we'll certainly pursue those. But I don't think we're going to have a problem with ending the year with so much cash that we don't know what to do with it. But I do think we'll be free cash flow positive this year and then we'll look for ways to put that cash to use.
Seth B. Yeager - Jefferies LLC, Fixed Income Research: Okay. And maybe just a follow-up. Where do you see here, what's the lowest level of cash balance you guys would feel comfortable with in just operating the business at this point?
M. Chad Crow: During the downturn, once our liquidity got below, say, $75 million or so, then we started getting somewhat concerned. I certainly wouldn't want our liquidity to get below $50 million. So we're in good shape at the moment.
Operator: We'll take our next question from Robert Kelly with Sidoti & Company.
Robert J. Kelly - Sidoti & Company, LLC: I understand the weather-based comments in respect to 1Q, but it sounds like there was some weather impact in 4Q as well. Could you help us quantify that a little bit?
M. Chad Crow: Well, if I remember right, the biggest impact was in -- Texas got hit with a heck of an ice storm in December, pretty much shut things down in North Texas anyway for about a week. I would say in general, the first quarter has certainly been much more difficult from a weather perspective than Q4. I don't really recall Q4 being all that unusual. But I would say Q1 this year is the worst I've seen in the 14 years I've been here as far as the impact in our markets.
Robert J. Kelly - Sidoti & Company, LLC: Okay. You had just referenced the previous question, the turns being slower because of weather in 4Q...
M. Chad Crow: Right. It did slow turns up a bit, but not near as much of an impact as it was so far this quarter.
Floyd F. Sherman: Yes. And our -- the weather impact really was as far south as Houston, from Atlanta north all the way through our markets. We've really been seriously hit with some -- as you know, the papers are full of the reports, but we have really had to deal with a lot of weather-related problems so far this year. We -- in our fourth quarter, we just had a smattering of some weather issues that Chad said the most serious was here in North Texas, but it was not widespread through all of our markets.
Robert J. Kelly - Sidoti & Company, LLC: Okay, okay. Got it. Just -- okay. As far as the EBITDA flow-through that we saw, particularly in 4Q and the second half of '13, it seemed like you've reached the point here where some of the price competition has eased a little bit and I know it's always intense in your business, but did something take place at some point in 2013 where either competitors were a little bit more disciplined with their pricing, your customers were more willing to accept price increases. The margin flow-through, especially on the EBITDA and the gross margin line, was much better than what we saw over the previous 6 quarters. And then a follow up to that, any reason why we shouldn't expect that 15% to 20% goal you laid out for incremental margins to be sustained in 2014?
Floyd F. Sherman: Well, from my viewpoint, we really haven't seen any change in the competitor behavior regarding pricing. The -- it's still very, very tough out there, very aggressive. There's -- depending upon the situation, you have people who will take business at any cost and the -- I really think the -- one of the major factors that are helping us improve our margin is our willingness to walk away from business. We have continued to walk from business where we just didn't feel the margins were what we wanted to live with. And I think that's beginning to really have an effect -- a positive effect on our business. Obviously, with improving business conditions, maybe you have a few more alternatives and our sales force is responding extremely well to that. The -- very honestly, after a while, you get damn tired of working for nothing and our people are -- and our sales force who are compensated on 10% of gross margin, they're hungry and -- but at the same time, they're doing everything possible to get the margins up and when we can't get the minimum margin levels that we have established and set and expect, then we're walking from that business and we'll continue to do so. And we obviously have been still taking very nice market share and I will continue to say, when you take market share in a very tough market, pricing becomes the primary tool that is used to take market share. And we intend to keep growing our market, taking all the share, but we're going to do it more prudently than we did back when you had to have business at any cost when we were back in the 2010 and '11 times.
Robert J. Kelly - Sidoti & Company, LLC: Great. So -- I mean, do you feel like there's enough "good business" to sustain the margin improvement in 2014?
Floyd F. Sherman: Yes.
Robert J. Kelly - Sidoti & Company, LLC: Okay, great. And then one final one. You talked about the OSB pricing being fairly depressed over the past few months. What's your exposure to just OSB?
Floyd F. Sherman: Probably our single largest SKU that we purchase in what would be 7/16 or the flooring items, a lot of specialty items of OSB other than just the exterior sheathing. But it is a major product category. It probably accounts for close to 30% of our commodity makeup in dollars.
Operator: We'll take our next question from Rob Hansen with Deutsche Bank.
Rob Hansen - Deutsche Bank AG, Research Division: I wanted to see if you guys could talk a little bit about what you're seeing in terms of the shortage of labor from the builders and where you're seeing the biggest impacts on your business in that respect?
Floyd F. Sherman: Well, from what we hear and we see the same builder commentary that you do and also hearing from our guys in the field, I think labor is going to be another issue this year. It's going to continue to be an issue this year. So the way that impacts our business, as we've said in the past is, there's more of a demand for us to install our products, which we've done more of the last couple of years than ever before. And then it increases the demand on the Prefab Components side of the business, which we've said all along is a favorable sales shift for us that typically will move sales from the Lumber & Lumber Sheet Goods category to the Prefab Components category. So as far as the impact on our business, that's a favorable shift.
Rob Hansen - Deutsche Bank AG, Research Division: What kind of increases in kind of just a rough magnitude have you seen over the last couple of quarters on a year-over-year basis in the, just specifically the installed component of that?
Floyd F. Sherman: Our installed business in 2013, if you include the labor portion and the material portion, was around 22% of our sales, 23%. Pretty consistent with where it was in 2012. But if you go back prior to 2012, say, 2005, 2006, it was less than 5% of our business. So that part of the business has certainly grown.
Rob Hansen - Deutsche Bank AG, Research Division: Okay. And then just one other one. On the Windows business, you've been growing pretty rapidly. You've talked about adding some capacity there. A lot of window companies have had kind of issues in terms of managing the labor and having labor inefficiencies and more scrap and whatnot. Have you seen any of that? How have you been able to kind of manage around that?
Floyd F. Sherman: As far as our window manufacturing facility?
Rob Hansen - Deutsche Bank AG, Research Division: Yes.
M. Chad Crow: We really have not experienced those problems. We have obviously -- we've grown our window business. We've been able to acquire the labor, get it trained, get it productive and we're very pleased with how our window operation is going and the -- some of the other issues that other manufacturers are having, because of the quality of our management in that operation, we've been able to avoid. So I'm happy, while many others are not happy with their window situation.
Operator: We'll take our next question from Scott Levine with Imperial Capital.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Listening to you talk about the prefab and the growth that you're seeing there on an underlying basis. Would you say that you're more pleased with the way things have progressed there than you would have expected, say, 6, 12 months ago and the trends are accelerating in that particular area? And then what are your expectations with regards to the trend there going forward? Because it certainly sounds like you're encouraged by what you've seen in the market the last 6 to 12 months?
Floyd F. Sherman: I would categorize us as very pleased with how that product line is progressing. It's still not back to where it was pre-downturn, but we probably made up close to half the ground and it was still very low levels of starts. So I think we're happy with where we are, but I also think there's still quite a bit of upside.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Got you. And then with regard to -- not to belabor the pricing point, just to kind of push for the incremental here, it does seem, reading the press release, like on the margin, things are getting better. Not to make more of it than it is, but would you say things are getting better on the margin and maybe, I would ask for a little bit more color for specific regional trends, within your footprint, which markets relatively speaking are underperforming or outperforming and/or getting better on the margin versus those that are -- or maybe falling a little bit behind?
Floyd F. Sherman: Well, as we've said in recent quarters, we do expect gross margin to continue to improve, but it's not going to happen overnight. It's going to take homebuilding getting healthier and as each quarter goes by and homebuilding gets stronger, then I think we'll continue to see gradual gross margin improvement. From a market perspective, everyone's certainly still up year-over-year. I would say some of our strongest EBITDA performance markets have been Texas, Florida, Western Tennessee, the Baltimore, Washington area and Atlanta and Charlotte are performing well. I would say some of the weaker environments are still Central Alabama and Central Georgia. But again, everyone's certainly performing better than they were a year ago.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Got you. And one last one, if I may. Quickly on SG&A, came in a little bit below what you were looking for in the quarter. It continues to -- are you -- can you get some operating leverage off the overhead? Any additional color you can provide regarding how we should think about that line item going forward and whether you'd expect to see the same degree of operating leverage or maybe even more as we move through 2014?
M. Chad Crow: I think 2014 will look similar as far as the leverage and the variability of SG&A, probably somewhere in that 60% to 65% range variable. We are having to add drivers and adding to our delivery capability, but that's part of the variable component but I still think we have a lot of potential there to leverage very well.
Operator: We'll take our next question from Matthew Dodson with JWest, LLC.
Matthew Dodson : Can you kind of help us understand or one, just clarify, you guys are talking about plus 5%, minus 5% over -- was it Q4 or was it over Q1?
M. Chad Crow: We're still on a sequential quarter basis, so Q1 versus Q4.
Matthew Dodson : Got you. And then because of that, would we expect gross margins to grow sequentially if you do get that plus 5% sales growth?
M. Chad Crow: No. I would probably categorize the margin as being fairly consistent with where we were in Q4. But from an OpEx perspective, we do typically have some higher costs in the first quarter from a payroll, tax standpoint and some other accruals that start over at the beginning of the year. But if you go back and look historically at our OpEx in Q1, it's typically a little higher than Q4, the previous quarter.
Matthew Dodson : And then can you help us kind of understand the mix going forward? Do you expect your prefab and your window business to grow faster than everything else or can you kind of just help us understand the puts and takes there, as well?
M. Chad Crow: Certainly I would expect prefab, yes, to continue to gain momentum and also the window plant in Houston, I think, that they're going to have another great year. I wouldn't say they're going to grow, but they'll probably grow a little bit faster than the rest of the business. But I think the most potential we have right now is on the prefab side.
Floyd F. Sherman: But you also have to remember the Houston window plant only supplies the Texas market. So the rest of [ph] the markets are -- we purchase for and resell the windows. But we try to grow all aspects of all of the major components of our business, we try to keep it on an equal basis. We're putting a lot more emphasis on the engineered products side of the business, processed wall panels, engineered floor and so forth, but the -- we still would hope that we can keep the growth up in all of the other products and so far, we've been successful doing that.
Operator: We'll take our next question from Howard Weinberg with UBS.
Howard Weinberg - UBS Investment Bank, Research Division: I was wondering if you could just talk a little bit about content per home. So are homes getting larger and -- so are you just adding the prefab, wall work, windows to each home that you're selling? I'm just trying to get an understanding of how you're actually capturing this incremental market share.
Floyd F. Sherman: I don't know that the size of the homes has changed all that much, maybe slightly bigger. And certainly, we're getting a bigger share of the wallet with existing customers, but we've also added a lot of new customers the last couple of years. So it's certainly a combination of things. Another way we look at it is -- and it varies by the size of the home and the type of home, but I would say if we were to sell our entire product offering into a home, we're probably talking $25,000 average, something like that in, say, maybe a 2,500-square foot home. But it's really just been a combination of increasing our wallet with existing customers and adding a lot of new customers.
Howard Weinberg - UBS Investment Bank, Research Division: Great. And then just on expansion opportunities that you might embark on. Will it be mostly adjacent locations, reopening some of the closed locations that you closed over the years or would you be interested in extending to new regions?
Floyd F. Sherman: Well, we've only got a couple of mothballed locations that we could potentially reopen. We're certainly always looking for ways to strengthen our presence in existing markets or in adjacent markets, whether that be through greenfield or acquisitions. But I would say that the likely path in the near-term is to grow within our existing markets or within the adjacent markets.
Operator: [Operator Instructions] We'll take our next question from Philip Volpicelli with Deutsche Bank.
Philip Volpicelli: Questions regarding pricing. You mentioned that OSB prices, you're expecting some increases there. We've heard from some of the window and door manufacturers that they're also trying to push price. Have you seen anything in the marketplace on Windows & Doors?
Floyd F. Sherman: Yes. We have definitely seen the announcements on -- from the window companies, as well as the interior/exterior door companies. They -- their intentions are to increase the prices to the market. The -- we have on products that we buy for resale, it's our intention then to pass the increases on with our markups. The -- I can't really say at this point that the increases have gone into effect, but they will be here over the next 60 days, but we have discussed these things with our customers, customers are aware of it and we'll just have to wait and see if they stick. And right now, I would say from everything that I'm seeing and hearing, they're pretty much going to go into place.
Philip Volpicelli: Okay, great. And what magnitude are they -- the price increases that have been announced?
Floyd F. Sherman: Say that again. You broke up.
Philip Volpicelli: Sorry. What magnitude, what size, 1%, 5%, 10%?
Floyd F. Sherman: Yes. Most of those are running anywhere from 4% to 7%, that's what we're seeing on those particular products.
Operator: And at this time, there are no additional questions in the queue. I'd like to turn the conference back over to Mr. Sherman for any additional or closing remarks.
Floyd F. Sherman: Okay, thank you. We appreciate everyone joining the call today. If you have any follow-up questions, please don't hesitate to give Chad Crow or Marcie Hyder a call here in Dallas. Have a good day.
Operator: That concludes today's conference. We appreciate your participation.